Operator: Good afternoon, everyone, and welcome to Cresud's Second Quarter 2020 Results Conference Call. Today's live webcast, both audio and slide show, may be accessed through company's Investor Relations website at www.cresud.com.ar, by clicking on the banner webcast link. The following presentation and the earnings release issued yesterday are also available for download on the company website. [Operator Instructions]. Before we begin, I would like to remind you that this call is being recorded and that information discussed today may include forward-looking statements regarding the company's financial and operating performance. All projections are subject to risks and uncertainties, and actual results may differ materially. Please refer to the detailed note in the company's earnings release regarding forward-looking statements. I will now turn the call over to Mr. Alejandro Elsztain, CEO. Please go ahead, sir.
Alejandro Elsztain: Thank you very much. Good morning, everybody. We are beginning our first 6 months of 2020. We can begin in Page #2 to see the main events of the 6 months. We see that the adjusted EBITDA for the period, made in the Agribusiness segment, ARS2.6 billion, but it's a little drop comparing to last year numbers, mainly explained because of less real estate transactions in the first semester and expect it to have in the second. In the case of the urban of Argentina, there is a small drop of 6.6% comparing to last year, it's ARS3.4 billion, and this is mainly explained because of the adjustment of the inflation results. In the case of the shopping centers, the sales were a little below this adjustment and it is bringing a negative and later, we are going to see some positive coming from the office buildings, but the -- it is showing then that a little bit more negative, making a small negative. And a positive adjusted EBITDA in the case of Israel, explained mainly because of the good results on PBC and Cellcom, a change in the IFRS of Cellcom. The net result for the 6 months gives us a positive of ARS1.7 billion comparing to a negative of last year. And if we see the net result attributable to controlling the company, it is a negative ARS4.7 billion comparing to ARS6 billion of last year. We have a record planted area in the region. We are achieving almost 270,000 hectares. It is a growth of 9% comparing to last year numbers. In the case of sales, I said that this year, we are below last year numbers. We had only cases in Brazil, through BrasilAgro, BRL28.2 billion sales, and this is only small portions of Jatoba, Alto Taquari and we are expecting more sales for the second semester. And in this semester, we distributed shares up to the 2.6% of the capital of Cresud. And subsequently, we did 2, 3 things more. Cresud sold in the market, 6% of the stake of BrasilAgro for $15.6 million. This was an auction in a day. And from other side, BrasilAgro merged Agrifirma, it's an agriculture company based in Brazil, and we did that through issuing shares, not paying cash, through issuing new shares of BrasilAgro and including almost 29,000 hectares of land to the BrasilAgro portfolio. And finally, after selling the 6% and the dilution of Agrifirma, Cresud reduced its stake to 33.6%.  We can move to next page, and we can speak about this merger that we are doing. Meantime, we are selling some farms in Bahia, we were reducing last year's mainly through the sale of Jatoba. And we have the chance of including this stake of a company that was an important on the past but failing in its operation. And finally, decided to receive the payment on shares and give us scale and synergies we are not almost hiring no one is in the same region of our farms. And we are doing through issuing new shares. This transaction, it's an issuance of almost 9.5% of the company, new shares. This is not finalized still, it's going to finalize very soon. And this is here an evolution of what is after this the portfolio effect of BrasilAgro growth from 185,000 hectares to 214,000 hectares. And they accepted our -- the 2 were done at fair value of each of the companies. So that was a very good and interesting transaction for us. And so this is the first time in the history of the company that we are able to acquire through the issuance of new shares. If we go to the next page, you can see the portfolio of the planted area. We are arriving to our record of 269,000 between the 4 countries and 9% growth comparing to last year numbers. Here, we see that the soybeans represent 51%; corn 24%; sugarcane is 12%; and the others are 13%. And this is a combination of owned and leased land between the 4 countries. There are 2 countries that they are doing are Argentina and Brazil. The other 2 are doing only -- and in Bolivia, we have a small leasing too. Related to farmland sales, we see the evolution of the last 10 years, we can see that this year, up to now, the first 6 months is a small gain. Majority is gain, the yield they are green. You cannot almost kind of relook at the cost of the land that we sold. So you see the majority of the sales are a gain. And so these are 2 small transaction of 1,080 hectares, so really very small to the portfolio, but with very interesting yields of 14% and 20% -- 21% in reals or 7% or 13% in dollars after the big devaluation that Brazil receives. So we keep that track of buying and selling land. And in Brazil, today is very active because of the benefits of the buying and selling land for the farmers after having good results, they normally take more -- the profits of the year, they buy more land.  So now I will introduce Mr. Carlos Blousson, that will explain about the commodity business and the world.
Carlos Blousson: Good morning, everybody. Thanks, Alejandro. Well, let's go to Page #6, about farming, commodity prices and global stocks. We can see in the graph, the prices were kept at a low level. The reasons are the following. Considering the supply, the condition of the crops in South America are [indiscernible] are good. Generating incremental levels of stocks. Let's now have a look the fact that the stock-related trade is purely soybean are still high because the delay in exports due to the tardiness in the agreement with China. Regarding the demand, despite the agreement, Phase 1 has been signed last January between the United States and China also are delayed. And we need to wait for the impact of coronavirus in the Chinese economy and of the demand. So far, prices are on hold. Regarding soybean stock consumption ratio, we can see in the graph, a decrease in the world ratio, except from United States, due to the reasons mentioned before. Talking about corn. We see that the corn stock consumption ratio decreased in the world's ratio, except for United States because of the delays in exports since Brazil and the rest of South America was more competitive. The reason is that China is targeting a surplus import tax to American crops and not to Brazilian and Latin American ones. As you may see on the top of the right graph, we appreciate that the FOB soybean prices in Brazil and Argentina were more competitive than in the United States, the reason being the delay in agreement -- United States, China not reaching an agreement on the import tax reductions. So in the current original hedge campaign 2019, 2020, the current hedge level is 73% in soybean in the over rebudget price. In case of the corn, the original level is of 65%. We remain 4% over the budget in soybean and 9% in corn. It's clear that this high hedge happened because we anticipate to our use of electricity for sales that the market was going down, particularly in Argentina. This happened because we anticipate to the change in the export tax. We will provide further details later on. Let's go to the next page, the good prospect farming activity in the fiscal year 2020. As you can see in the top of the graphic, the evolution of the weather in South America was normal, but we need it to rain to continue at the same pace for the next 45 days to finally refine the volume of [indiscernible]. The forecast predicts the rain will continue. Related to the exchange rate evolution, you can see that the devaluation rate has increased in the last 6 months. We can see 5% in Brazil and 41% in Argentina, allowing an improvement in the compatibility in the export sector. Next page. Crop tax exports' increase in Argentina. Macri administration and regulation were to reduce the export tax. Since December 2019, the new government has changed this by increasing them to levels resembling the ones exiting when they were in the office before. In case of soybean, the new tax export increased to 30%, and they set the Congress approval to one additional 3%. Due to this fact, they will be able to reach a rate today, like the rate exiting when they were in power before. Regarding corn. The new taxes were increased to 12%, and they have a Congress approval to an additional 3%. This will increase to 50%. The rate is lower than the rate exiting when they were in the office before. In the last one, in case of the wheat, it increased to 12%. Same allowance of 3% that had the Congress approval, too. This will increase to 50%. The situation shows the increment will not be alarmingly high as opposed to what happened they were in the office before. The next page, about our investment in Agrofy. As you may see, Agrofy, the pioneer company of e-commerce in the early days, it was Cresud owns 22.25% and by BrasilAgro 1.89%, continuing its growth, its business model. The news is the capital round has increased to $23 million. Means that Cresud subscribed $2 million and BrasilAgro, $1 million. The company current valuation is of $53 million. Related to the KPIs, as I show the right of graphic, the additional -- the monthly visit to the wood side [indiscernible] shed 139% in comparison to the December 2018. The monthly contact went up to 92% as well as the revenues in dollars that were higher, 106%. Agrofy is present in 7 countries today. We intend to be the leaders in the Lat Am in the next 3 years, present in 9 country. This year goal is to incorporate Colombia and Mexico. Thank you, everybody. Matias?
Alejandro Elsztain: If we move to the next page, we can see news in our Argentina business segment, basically, our stake in IRSA. So in shopping malls, we can see recovery after 18 months, then we have decreases against inflation our tenant sales. So past inflation for first time at 3.6%. In the quarter, we considered the semester 0.4%. Probably this is attributable to the program with credit cards out of those and out of [indiscernible] that allow consumers to pay in installments without interest rates. So we will see if that is a sustainable trend or was just 3 months of improvement. Occupancy remains at levels of 95% in the malls, in the offices, in AAA at 97.1% with the rent in dollars to stable $26.9 per square meter. We are finishing the development of the Della Paolera doscientos. So we will deliver -- we started to deliver the units, and we plan to have it ready by the end of this fiscal year. So everything and the commercialization is in good shape. So good news in that segment. Hotels. During the quarter, we have lower sales because of the flag process on one of our hotels. That used to be Sheraton, and now we have our own brand. So that we have lower sales, but the rest remain in good shape. Land reserves, with some barter agreements during the semester. So we did 1 in Abasto, that was to be in a space close to one of our shopping centers that we have for a while. And now we signed it with our developer to exchange land for the square meters. So we will receive around $4.5 million in square meters. Also in Caballito, that is a big plot of land that we have in that neighborhood that we started to do some swaps. So we started with the plot 1 of 11,400 square meters. But also, we will receive apartments for that exchange. And we have much more land to keep doing the same in the future. And regarding the financial and the international part. In Banco Hipotecario, this semester, we have some losses because of an impairment of the government notes and financial instruments and some doubtful accounts. And in the international part, we expect to -- the disposal of Condor will be settled during the quarter. If we move to the rest of the sector, the Israeli business center. During the semester, we finished with a Concentration Law adoption. Now -- so finally, what we did was to dispose shares of Gav-Yam, so we lost control on Gav-Yam shares. We privatized the debt of Ispro, and then we distributed the shares of Mehadrin as a dividend. So with that, now we are in compliance with the law. The rest of the important part there was regarding Clal. During the semester, we sold shares of Clal. So now our direct stake is at 8.5%. I mean with the swaps, we are around 16%. So that was the other important news in Israel. If we move to the financial statements in Page 13. Here, we have a complex semester with us. We have some extraordinary some effects that I will try to explain. So if we started with the line -- if we start with the Line 17, the net income of the company, we finished the semester with a gain of almost ARS1.7 billion against the loss semester of 8.5 -- sorry, ARS8.6 billion. If we see the attributable part to our controlling shareholders, it's a negative result of ARS4.7 billion against a loss of ARS6.0 billion last year. And when we analyze the effects, we have several. The first one is the change in the fair value in the Line 6 in the part of the Argentina business segment that we can see a gain this semester of ARS3.8 billion against a loss of ARS9.6 billion last year. That is the first effect. The second effect is in the financial line in the net financial results in Line 13 that we have during the semester ARS19.3 billion against ARS11.5 billion that I will explain in the following pages. Other effect is in the line 14, the income tax that we are recognizing a loss of ARS3.1 billion against a gain last year of ARS3.4 billion. Here is more related to the recognition at fair value of our property. It's not -- this is a deferred tax, it's not a cash effect. And also here, we have the starting of the implementation of the inflation adjustment in our tax balance sheet that also generate a loss during the year. If we move to the following page, on Page 14, we can see the breakdown on the adjusted EBITDA by segment. And here, we can see a very good performance in agriculture. So leaving aside the farmland sales that last year we recognized it here the gain of Jatoba that is included in the ARS1.5 billion of the previous year against a small recognition this year. Then the rest of the segment, we see that our results almost doubling in farming the previous year, and this is adjusted by inflation. So we can see in grains, better performance, in the sugarcane, in cattle, a lower loss and the agriculture and rent services flat. And then the others that include the mid packing facility and our brokerage firm, we are a little above inflation that is more related here to the mid parking facility. Then in field, we have good results, but part that recognized in the financial part and not here in the adjusted EBITDA. Then, as I mentioned, in the urban segment, shopping malls, we have a lag against inflation. So this year -- this semester, we are 18%, almost 19% below the previous year. This is more related to stronger revenues that are part of our revenues are not surpassing the minimum rent. So we are recognizing only minimum rent and not percentage. So we will see the trend if the sales continue to perform well, I believe that this line will improve. Then in offices, we have a much better result, 13 -- 38.1% that is related to a set of building that now we have a new building operative. So we are growing those results plus the valuation that help us because our agreements are in dollars. The hotels, a decrease of 29%. That is related to deflag of Sheraton and also an extraordinary income last year. And then in sales and development, no major news. In real estate, in the Israeli business segment, we are 26.8% above. This is more related to cost reductions part is the devaluation between the shekel and the peso, that is 13.5%. The rest is more related to cost reductions. And in the telecommunication also is more related to the implementation of IFRS 16, we have part of the cost that now are recognized as amortizations and is not included this here. Finally, on Page 15, we have the other effect that is in the net financial results. Here, when we separate in the different business segments. In Argentina, we have the impact of the devaluation. If you see below in the graph, we have a devaluation this semester of 41%, but in real terms, it's 13% against 30% last year, but in real terms, only 3%. So that effect is -- affect directly our dollar-denominated debt and is included in the line 2, the net exchange differences that you can see that we have lower results in Cresud and in IRSA. Then in the Israeli business segment, the important part is regarding the Clal shares that we see a drop during the semester of 15% against a gain of 3% last year. That is -- that has an impact that is reflected in the line 4, that you can see a drop or negative result of ARS2.8 billion against a gain of ARS57 million last year. And the other positive affect is in line 3, in Israel, that we have a gain of ARS2 billion that is related to the buyback of bonds in VAC that generate a profit.  So most of the effect that I described are noncash effects. The most relevant part is on the operational side, the [indiscernible]. Then I try to make it simple to describe the main impact that affect our net income this semester.  If we move to the final page in the debt profile, we have today the debt remains stable at $443 million. We have the debt amortization scale, this is as of December. After that, in January, we issue a new bond. So we issue three series of a new bond for $51 million. And also we have the disposals of the 6% of the shares of BrasilAgro that generate $15.6 million of cash. So those two effects will impact in the next quarter or already impacting in January, but it's not reflected in this slide. So with this, we finish the formal presentation. Now we open the line to receive your questions.
Operator:
Alejandro Elsztain: Just to finalize, we are in the middle of our crop season, and we are now in the time that we are confirming the yields of the crops. We are in a good shape in the plantation, having the highest -- the record size of plantations of the company, and we expect normal yield for the year. We expect that to keep raining on the South American region. And to keep doing transactions on the real estate arena. And each of the companies that are consolidated increase through them following their own missions. So thank you very much, and we see you next quarter. Bye.
Operator: Thank you. This concludes today's presentation. You may disconnect your lines at this time, and have a nice day.